Operator: Thank you for standing by, and welcome to the WiseTech Global Limited FY 2023 Results. [Operator Instructions]. I would now like to hand the conference over to Mr. Richard White, CEO and Founder. Please go ahead.
Richard White: Good morning everyone, and thank you for joining us today for our FY 2023 results briefing. Before getting into the financial highlights, I want to draw your attention to four key points we are going to focus on in today’s presentation. We have delivered a strong FY 2023 financial performance and FY 2024 outlook, underpinned by continued growth in the number of large global rollouts. We signed our first global customers rollout in the second half of FY 2023 and FedEx Trade Networks has recently confirmed they intend to rollout CargoWise global customers alongside their on-going global forwarding rollout. We have executed a strategic move into Landside Logistics initially with North America and we have substantially increased our global development capability from just over a 1000 staff at the beginning of FY 2023 to now over 1,800 resulting in 60% of our workforce now focussed on product development in order to further accelerate our product delivery and address new markets. This substantial increase in scale and development throughput is driving our continued investment and focus on product innovation. So I am pleased to announce the release of the CargoWise warehouse suite, one of our six key development priorities featuring five highly differentiated advanced warehouse modalities, each purpose built for integrated international forwarding and Landside Logistics needs, and the release this month of CargoWise near to production customers and neither of our six development priorities. These important product leases again demonstrate our continued investment in future growth. Our goal is to drive innovation within the CargoWise Ecosystem so that – there it is a must have for large global forwarders and logistics operators. We were exactly where we plan to be as we head into FY 2024 and this is down to the exceptional WiseTech team which grew during the year to more than 3000 people globally. Their hard work and relentless focus has enabled us to make great progress in realising our vision to be the operating system for global logistics. I salute them all and their passion, dedication and work ethic. Without them none of this would be possible. In FY 2023 we delivered total revenue of $816.8 million representing a $184.6 million or a 29% increase on FY 2022. This demonstrates the resilience of our business model and continued strong momentum. Organically, total revenue was up 21%. As we did at the half year we’ve separated out the organic growth to provide understanding and transparency to our results following our substantial acquisitions. Andrew will provide more details in his presentation. The vast majority of growth came from CargoWise with revenue of up 41% to $659.6 million an outstanding result. This is driving a seven percentage point increase in a recurring revenue base to 96% making our business very stable and predictable. Our customer attrition rate remains at less than 1% where it has been for the last 11 years. EBITDA excluding M&A costs grew 28% or $90.8 million to $412.1 million and is in line with the top end of our guidance range. EBITDA was up 21% to $385.7 million versus the prior corresponding period. As we explained at the half year results for FY 2023 due to the near term dilutive impact of recent M&A, EBITDA margin was down three percentage points to 47%. Our organic EBITDA was up 27% with an EBITDA margin up two percentage points to 53% reflecting the benefit of new customers, new product releases, price increases and our enhanced operating leverage and on-going financial discipline. Our underlying impact for the year was up 30% to $247.6 million and our free cash flow for FY 2023 of $291.4 million was up 23% on FY 2022. We are delivering high quality earnings giving us plenty of headroom to execute on our organic growth plans and further acquisition opportunities that may arise. The final dividend of $0.084 per share is up 31% on FY 2022 representing a pay-out ratio of 20% of underlying impact. This was against the backdrop of softening global trade flows as geopolitical frictions, persistent inflationary pressures and interest rate rises impacted global demand. We provide solutions that work well when the economy is going strong but equally in tougher operating environments logistics organisations have a greater need for our software to drive efficiencies, enhance productivity, improve manageability and data visibility and help with organisational cost reduction programs whilst maintaining their customer service obligations. As these results show our business continues to be resilient through the cycle. The strength of our software, diversity of our revenue growth and the agility of our talented team to adapt to changes in the economics of logistics has allowed us to consistently deliver against our 3P strategy. We continued our unrelenting focus on enhancing our CargoWise product by increasing investment in R&D by 45% to $261.9 million in FY 2023 delivering 1130 new CargoWise product enhancements which are key drivers of our revenue growth including having now made major progress in five of our six CargoWise development priorities. As discussed at the FY 2022 results and again at the half year, we took advantage of the current environment to accelerate our investment in R&D and drive further long-term revenue growth. This is reflected in the growth of our global employee base with 60% of our employees focused on product development. During the year, we completed two strategically significant acquisitions in Envase Technologies and Blume Global. Integration is progressing to plan and I will talk further on the strategic value of these acquisitions later. These two acquisitions followed our tuck-in acquisitions in Bolero and Shipamax, which have extended CargoWise’s digital documentation and straight through processing capabilities and both have made small contributions to our FY 2023 revenue growth. Leveraging our experienced M&A teams acquisition and integration skills to accelerate our presence in these areas is a significant long-term product and revenue growth lever and we intend to continue this highly effective strategy by using our strong balance sheet and cash generative capabilities in a disciplined manner to further enhance growth. In terms of penetration, our momentum is building with eight new or additional global rollouts secured during FY 2023. Since year-end, we have also secured APL Logistics for a global CargoWise rollout and recently FedEx adding CargoWise Global Customs alongside their CargoWise forwarding rollout making this the second global rollout of a CargoWise Global Customs system. As I said at the half year, the significance of these watershed deals cannot be understated. Until now, there has never been a deeply capable single global customs platform with the capabilities and sophistication required to satisfy the complex needs of large global freight forwarders. Traditionally, players at this scale have engaged many individual vendors, usually one per country, in order to provide a patchwork of services to their customers and comply with the local requirements and electronic customs procedures. Our global customs product development has by contrast been directly driven by our foothold acquisition strategy and our long-term focus on developing a single, deeply integrated global customs architecture. We now cover approximately 55% of global manufactured trade flows, directly on our native customs platform. With the remaining acquired foothold countries in development, we will cover approximately 70% of global manufactured trade flows. Several other large global freight forwarders are also looking to reorganise their approach to customs processing, seeing the many advantages of a single global customs platform. Excluding AP Logistics, this takes our total to 47 large global freight forwarder rollouts at the end of FY 2023, including 11 of the top 25 global freight forwarders, which will continue to drive our growth in revenues through further product utilisation. We are well-placed to convert our strong pipeline of sales opportunities underpinning future revenue growth. And lastly, we have launched a multi-year, company-wide efficiency program, which we expect to deliver a net $15 million savings in FY 2024, with an annual run rate of $40 million. This involves extracting acquisition synergies and streamlining our processes, and removing duplication to enhance our operating leverage and ensure appropriate allocation of resources to support scalability and delivery of our long-term strategic vision. Some of the initiatives we will implement to achieve this include centralising physical operations and product development hubs, consolidating various hosting and data centre arrangements, migrating data processing from acquired businesses, streamlining offices and facilities, and extending integration of our acquisitions. It is important to note, as we indicated in the first half of FY 2023 report, that while our largest strategic acquisitions are being integrated, our near-term EBITDA margins will be slightly lower. However, we expect EBITDA margins to return to more than 50% in FY 2026. With that, I will hand over to Andrew to take you through our financial performance, before talking again in some detail about our strategic progress and outlook.
Andrew Cartledge: Thanks Richard, and good morning everyone. Starting with an overview of our FY 2023 financial performance on slide 8, as Richard noted, the business delivered strong revenue growth during the year, with total revenue of $816.8 million, up 29% year-on-year. Revenue growth was driven by our core CargoWise platform, with CargoWise recurring revenues growing to $650.1 million, up 37% organically. Total CargoWise revenues were up 41% to $659.6 million, or 30% organically on FY 2022. This was slightly offset by non-CargoWise revenues, which reduced as expected by 5% to $157.2 million. Our strong growth continues to demonstrate the strength of customer demand for our core platform and the successful execution of our strategy. As we did at our half-year results in February, we have shared our organic growth rate, which excludes restructuring and M&A costs, as well as the growth related to those acquisitions in FX to help provide transparency over the underlying revenue, EBITDA, and EBITDA margin growth of the business. We provided a full breakdown of the FY 2023 organic growth on slide 32 in the appendix. As communicated at the half-year, we have reclassified Trinium’s revenue from non-CargoWise to CargoWise, including all prior periods consistent with our classification of revenues from the recently acquired Envase and Blume businesses. Gross profit for the year was up 28% on FY 2022, with gross profit margin of 86% down 1 percentage point on FY 2022, reflecting dilution from recent M&A. Excluding M&A costs, EBITDA grew by 28% to $412.1 million, in line with the top end of our guidance range provided at the half-year. Reported EBITDA of $385.7 million was up 21% on FY 2022, reflecting an EBITDA margin of 47% down 3 percentage points on FY 2022. Organically, EBITDA grew by 26%, and the EBITDA margin expanded by 2 percentage points to 53%. This strong organic EBITDA growth reflects our strong top-line growth underpinned by large global freight forwarder rollouts, as well as the impact of enhanced operating leverage, new product releases, pricing, and on-going financial discipline. EBIT was up 18% on FY 2022, incorporating a 34% increase in depreciation and amortization, which demonstrates our continued investment in research and development to drive growth, as well as reflecting recent M&A. At the bottom of the table, you’ll see underlying net profit after tax for the year was up 30% on FY 2022 at $247.6 million. The definition of underlying NPAT has been updated to exclude M&A costs and contingent and deferred consideration interest unwind net of tax, a full reconciliation is available in the appendix. Underlying EPS was up 30% to $75.06 per share, and statutory NPAT was up 9% to $212.2 million. On slide 9, you can see the split between recurring and non-recurring revenues, as well as between CargoWise and non-CargoWise revenues. For a SaaS and subscription-based business like WiseTech, recurring revenue represents revenues from customers who use our products consistently. A high proportion of recurring revenues gives us good visibility over future performance. For WiseTech, our non-recurring revenues include items like customer-paid product enhancements and one-off license revenues that help to accelerate future recurring revenue growth. In FY 2023, recurring revenue grew by 37%, or $211 million excluding the impact of FX. This was driven by major new products released in FY 2022, price increases to offset the impact of inflation, and generate returns on product investment and revenues from acquisitions completed over the last two financial years. As expected, non-recurring revenues decreased by $34.5 million, or 52% excluding FX, due to the non-repeat of a product license agreement for a CargoWise landside logistics component in FY 2022, which was also categorized as a new customer sale, as well as expected contraction from non-CargoWise acquisitions completed in FY 2021 and prior periods as part of our integration strategy. On the right-hand side of the slide, you can see the contribution from the strong growth in CargoWise revenue, which was up $141.8 million, or 30% excluding FX. Of this, $127.7 million was from existing CargoWise customers, and $14.1 million was from new customers, including new large global freight forwarder rollouts. This growth also reflects major new products released in FY 2022, price increases, and expected contraction in non-recurring revenue. Importantly, CargoWise customer attrition remains extremely low at less than 1%, demonstrating the stickiness of a CargoWise platform for our customers and emphasizing the significant long-term value generated from each CargoWise customer under our SaaS model. Non-CargoWise revenue was down by 5% to $157.2 million, driven by an expected contraction from acquisitions completed in FY 2021 and prior years, partially offset by general price increases. We expect this trend to continue as customer’s transition to the WiseTech commercial model, and we exit lower-margin, non-recurring products and services. Turning to our revenue growth drivers on slide 10. As you can see on the chart on the left-hand side, on a constant currency basis over the last seven years, our CargoWise recurring revenue has grown more than sevenfold from $86 million in FY 2016 to $650 million in FY 2023, having grown at 33% compounded annual growth rate over the period. On the right, you can see the relative contribution of each of the revenue drivers to our CargoWise recurring revenue growth over the same period, which shows the most significant driver of CargoWise recurring revenue growth has been the large global freight forwarder rollouts, which have contributed almost a third of the revenue growth, or 10% points of the 33% CAGR. The next largest contributor has been new and existing customer growth, which contributed 7% points of growth. This is followed by product enhancements reflected in our pricing of major new product releases, both contributing 5% points each. Inorganic revenues and growth from the underlying supply chain market each contributed 3 percentage points of our growth. Importantly, this shows that the overwhelming majority of our growth is driven by factors we can influence, including winning new customers and investing in new products and features. Our organic growth is therefore less sensitive to market volatility, giving us far better visibility over our revenues. Looking ahead, we expect future CargoWise recurring revenue growth to be consistent with our historical experience, with accelerated growth to be driven primarily by large global freight forwarder rollouts and further customer wins, as well as the new products and features from acquisitions. We also expect growth from our six key product development priorities, which Richard will talk about in a few moments. Pursuing inorganic growth opportunities is another important growth lever, including smaller tuck-in as well as potentially larger strategically significant acquisitions where we can deploy our sizable balance sheet and strong liquidity and supported by strong operational cash generation and our proven M&A capability to accelerate our development opportunities and build out the CargoWise ecosystem. Turning to Slide 11, I’d like to talk about the revenue growth trajectory from each of these large global freight forwarder rollouts. As you know our large global customers can take a number of years to roll out the CargoWise platform across their global operations. As the rollouts progress, customers add new countries, adopt new modules and implement our productivity tools. For the 47 global rollouts in place at the end of FY 2023 33 are in production meaning they are operationally live on CargoWise and have rolled out to 10 or more countries and 400 or more registered users. The remaining 14 are contracted and in progress, meaning they are at an earlier stage of their global rollout. From a revenue perspective, you can see that these 33 global rollouts in production have delivered a compounded annual growth rate of 37% since FY 2016, driven by the growth of global rollouts by customers such as DSV, DHL, Toll, Yusen and Geodis, the adoption of additional CargoWise modules, products and features and customer M&A activity. Importantly, 6 of these 33 customers in production are top 25 global freight forwarders, which have grown at 42% CAGR over the same period, showing the attractiveness of these large global rollouts. Looking ahead, we expect growth from a range of sources. The 14 global rollouts that were contracted and in progress in FY 2023 have grown at a compounded rate of 115% since FY 2019 and still, collectively, they have less than 40% of their expected users currently live on CargoWise. This demonstrates the significant potential revenue upside from existing global rollouts, increasing their user bases. The size of the expected user base not currently live in CargoWise is in line with FY 2022 with new contract wins, including Kuehne + Nagel and OEC broadly offset by continued rollout from existing customers such as Hellman, Bollore and CEVA. Our existing 33 customers with global rollouts in production will continue to drive revenue growth as their global rollouts and product penetration continues to expand, and they add new products and features, including customs, landside logistics and warehouse. We also anticipate continued logistics industry consolidation will support our future revenue growth with our Large Global Freight Forwarder customers well positioned to leverage future consolidation to growth. Given the significant runway of customers available to us in both the top 25 Global Freight Forwarders and the top 200 logistics providers, we expect to see future revenue growth driven by additional Large Global Freight Forwarder contract wins. Another important driver is tighter supply chain industry conditions, which can motivate industry participants to intensify their focus on increasing the productivity and efficiency of their businesses and cost bases which can drive strong demand for our CargoWise product. Moving to slide 12, you can see our operating expenses overtime across the areas of product design and development, sales and marketing and general and administration. Our strong revenue growth and efficient operating model continues to drive enhanced operating leverage and margin expansion. Overall, operating expenses as a percentage of revenue, excluding M&A costs, were flat year-on-year with increased expenses from our recent acquisitions, offsetting operating efficiency and leverage. Product design and development expenses increased by $30.9 million or one percentage point of revenue, due to investment in CargoWise innovation and development as well as recent M&A. Expenses for the maintenance of non-CargoWise products were down 14% versus FY 2022, decreasing in line with expectations. As previously indicated, this trend is expected to drive further cost efficiencies and as we transition these legacy products and customers onto our efficient CargoWise platform over time. Sales and marketing expenses were $59 million or flat as a percentage of revenue at 7% and with the increase in dollar terms attributable to recent M&A. General and administration costs were up by two percentage points, with M&A costs adding three percentage points of revenue, more than offsetting the benefit of growth and on-going financial discipline. Excluding the M&A costs, G&A improved by one percentage point on FY 2022 to 13% of revenue, highlighting the efficiency of our operating model. Turning now to R&D investment on slide 13, Investment in innovation and product development remains a strategic priority for WiseTech with deliberate acceleration in FY 2023 as previously communicated. This is focused on building integrated software that enables our logistics customers to improve planning, productivity, visibility and control of their global operations, enabling WiseTech to become the operating system for global logistics. Our overall R&D investment increased by $81.1 million or 45% versus FY 2022 with strong growth in CargoWise investment and hiring activity to drive future revenue growth as well as an increase from recent M&A. Overall, this represents a reinvestment of 32% of our revenue in R&D, which is consistent with prior periods. However, now more heavily weighted towards CargoWise. 51% of FY 2023 R&D investment was capitalized, up five percentage points on FY 2022, with the second half 50%, three percentage points lower than the first half, which reflected the acceleration of new strategic development priorities, which have higher capitalization rates than existing products driven by favorable hiring conditions. FY 2023 capitalized development is above the expected range of 40% to 50%. Moving forward, this is projected to be close to the top of the target range. Development costs for work in progress increased by $29.8 million to $54.3 million, reflecting increased investment in future products, not yet in production or delivering revenue. We delivered 1,130 new cargo-wise product enhancements during the year, reflecting increased focus on larger development projects and product optimization. This brings enhancements delivered on the CargoWise application suite to more than 5,300 over the last five years from a total investment of over $880 million. CargoWise’s product development resources increased by 96% versus FY 2022 benefiting from the on-going recruitment of high-quality talent attracted to WiseTech in addition to recent M&A with 60% of our global workforce now focused on product development, up 6 percentage points since FY 2022. Moving to our balance sheet on Slide 14. You’ll see on this slide how our balance sheet strength and liquidity provide a solid platform to fund future growth. As of the 30 of June 2023, we had liquidity of approximately $400 million providing significant financial flexibility and headroom to fund strategic growth opportunities as demonstrated by our recent acquisitions. The $340.5 million decrease in cash during the period largely reflects investment in recent M&A, offset by strong operating cash flow generation. The 37% increase in receivables relates to revenue growth and recent M&A, the $1.2 billion increase in intangible assets was driven largely by the acquisitions made during the period as well as investments in capitalized development previously mentioned, partially offset by amortization. Turning to our liabilities. The $225 million of current borrowings reflects partial funding of the strategic acquisition of Blume. As of the 30 of June 2023, we had total debt facilities both drawn and undrawn of $475 million, reflecting 1.2 times FY 2023 EBITDA providing significant additional borrowing capacity. A $139.8 million increase in other current liabilities was driven primarily by an increase in trade payables from recent M&A and funds collected on behalf of customers offsetting current assets. You’ll also see of $348.4 million increase in share of capital, reflecting new shares issued to the vendors as consideration for the Envase and Blume acquisitions as well as to the employee share trust to fund our employee equity programs. Our employee equity programs are a key component of our policy to support staff retention, attract high-quality talent and encourage long-term value creation across our workforce which is reflected in the high number of our people that own WiseTech shares and share rights. Finally, I’d like to reference our strong continued cash flow performance on Slide 15. In FY 2023, our operating cash flows were $433.3 million, up 28% on FY 2022, demonstrating our highly cash-generative business model, delivering strong free cash flow. In FY 2023, we increased the proportion of our operating cash flows reinvested to support long-term growth initiatives to $141.9 million, which were invested primarily in product development and data center capacity. Pleasingly, our operating cash flow conversion rate was 112%, up 6 percentage points on FY 2022, driven primarily by higher revenue and EBITDA. Changes in working capital in FY 2022 reflected a onetime decrease in deferred revenue from aligning non-CargoWise commercial models to shorter billing cycles, which was not repeated in FY 2023. As a result of this improved operating cash flow, free cash flow for FY 2023 was up 23% to $291.4 million with free cash flow conversion up 1 percentage points to 76%, reflecting increased product development, as mentioned previously. The free cash flow margin remains strong at 36%, taking the sum of our total revenue growth and free cash flow margins, a Rule of 40 increased by 2 percentage points to 65% in FY 2023, remaining highly attractive when compared to SaaS businesses globally. So to summarize, we’re very pleased with WiseTech’s financial performance in FY 2023. The business continues to grow at a very healthy pace, with our highly cash-generative business model and strong liquidity, providing a solid foundation to fund our on-going organic and inorganic growth. With that, I’ll hand back to Richard.
Richard White: Thank you, Andrew. WiseTech’s strategic vision is to be the operating system for global logistics. And we have made significant progress in realizing that vision. In global customs, landside logistics, Warehouse and Neo, we have achieved major milestones, which add considerably to our existing ecosystem and validate our strategies and long-term efforts. We are a product-led business. Our product strategies create deep value for existing customers, create a traction for new customers in our existing markets, allow us to enter new markets, increase the total addressable market that we serve and enhance our ability to gain further access to customers and opportunities in new markets. Acquisitions add to our speed of execution and fuel further and faster organic growth of our flagship product, CargoWise. Targeted acquisitions in customs and warehouse and significant recent acquisitions in landside logistics makes these bold product moves possible as well as faster and simpler to execute effectively. They will also drive further market penetration, growth and profitability over time, as has been demonstrated through our results in recent years. Our continued strong financial performance in FY 2023 is the result of years of dedicated work on CargoWise by automating processes, stopping low-yield activities, enhancing successful activities and ensuring an on-going ability to easily scale at very low cost, even as organic revenues grow substantially. This type of planning and execution sets us up for long-term sustainable growth and profitability in our core business and allows us to invest in expanded product segments, such as global customs and landside logistics, progressing further on our sixth product development priorities. CargoWise’s depth of product capability and global reach is why more and more of the world’s largest global freight forwarders keep choosing to move to WiseTech, as they understand the long-term value of what we’re doing. CargoWise offers world-leading capability, unparalleled productivity improvements and IT cost reductions in an increasingly complex and costly industry. It is deeply capable, actively maintained and enhanced. It does not require customization or complex configuration. So it is fast to roll-out globally, and at a cost that is quite simply insignificant when compared to IT cost reductions and substantial productivity improvements derived from adopting CargoWise. This is why 24 of the top 25 global freight forwarders and 44 of the top 50 third-party logistics providers are already WiseTech customers in at least one area of their business. With the many still lightly penetrated customers providing plenty of opportunity for further CargoWise adoption and revenue growth, which now additionally includes landside logistics, the CargoWise warehouse suite, and CargoWise Neo, which will provide increased attraction, retention and expanded share of wallet. I want to emphasize that enabling our focus on these three pillars is all our talented people who drive these outcomes. We have accelerated the growth in our global talent base as more high-value and talented people gravitate towards highly profitable and innovative technology companies like WiseTech. We have seen a substantial increase of inbound applications to work at WiseTech. I’m extremely proud of the team and the culture of innovation we have fostered complemented by talent people that joined WiseTech through our acquisition program, one of the key value-enhancing components of these deals. Five of the six priorities on this slide have now had significant M&A action or product releases. We continue to focus on these six priorities in order to deepen the value that we create and build even more attractive capabilities over the long-term. In many ways, in each of these development priorities, we are gaining access to or creating increased attraction and access to entirely new addressable markets by solving deeply complex supply chain issues, building new higher-function product sets, replacing very manual missing processes with automation as well as replacing old technologies with cloud-first fully-digital global capabilities. First and foremost, we continue to develop our product capabilities organically with over $880 million invested in R&D since FY 2019, delivering more than 5,300 product enhancements to-date. 1130 of these came in FY 2023, which demonstrates the momentum we are building in our development capability. In addition to the acquisitions of Envase and Blume, which expand and accelerate our developed projects for landside logistics in North America, we are rapidly gaining traction with our customs product. Please note that for global customs, the Warehouse suite and Neo, we have included download links on the relevant slides to product overviews, which will give you more detailed insights into the unique capabilities and competitive advantages. I encourage you to download these documents and study them at a later time. In addition to our product development capabilities, we can fast track the capabilities of CargoWise with new knowledge, experienced teams functionalities, market insights and customer viewpoints through targeted tuck-in and strategically significant acquisitions. To accelerate our vision to be the operating system for global logistics, we will continue to develop scale and capability across our product portfolio to enhance our customer value chain. To help accelerate our growth in these areas, we are also refining our sales processes to include dedicated sales teams focused on these additional growth drivers. The significant opportunities we have highlighted today are adjacent to our international freight forwarding market and they are attractive to existing and new customers and expand into new market segments. Both forwarding and customs are a deeply integrated part of the CargoWise platform, and they feed landside logistics, the Warehouse suite and Neo. The industrial logic of the Envase and Blume acquisitions further drives our expansion of CargoWise into an integrated landside road and rail capability. These acquisitions are proving to be highly valuable. We are making good progress with integration, which reflects our strong M&A track record and capability. Let me talk to the global customer piece of our value chain and the benefits that CargoWise provides relative to the traditional approach of gluing together many local systems. Traditionally, these legacy systems are based on local needs and experiences in each jurisdiction in their local languages and exposing the global business to a range of serious issues, including head and costs, risks and process limitations. This involves a myriad of contracts, vendors, architectures, work processes, data integrations, user interfaces and serious unresolvable cybersecurity risks, not to mention a highly variable complex support and maintenance requirements. Compare these issues to a single, easy to implement globally capable CargoWise custom solution, single vendor contract and architecture with a deeply cyber heartened attack surface meeting our customers’ global customer requirements across multiple jurisdictions, multilingual in a highly scalable and deeply automated standardized process capable of supporting follower sum and shared services models. As I mentioned earlier, winning Kuehne+Nagel now FedEx, many of the world’s largest Freight Forwarders will rethink their approach and look to centralize their customs processes, because something like this has never been available to them before. It has become clear that the real cost of custom processes using many local systems is not just the minor local costs, but the many factors, substantial inefficiencies and risks that create dramatically higher total cost of ownership. The value proposition is so compelling and the logic is so clear now that we are confident that this will lead to further global customer rollouts. But equally, it is important to note that some customers are choosing to adopt our customs capability incrementally, which builds over time, all of which further underpins our long-term revenue growth. For further details, there is a comprehensive global customs document link in the deck on slide 20. Many of our existing customers are now operating our global customer solution in one or more locations, and we expect that global adoption will continue to accelerate over time. As I mentioned, with CargoWise and its global customs capability, we cover approximately 55% of global manufactured trade flows, including the four largest EU economies, all major English-speaking countries as well as Mainland China and Taiwan and have recently added native NEO [Ph] and Brazil capabilities. There are a number of active development projects underway, driven using foothold acquisitions, which will lift the coverage to 70% and we are progressively working towards our long-term target of 90% of global manufactured trade flows. There is a dramatic increase in WiseTech’s addressable market beyond international freight forwarding, driven by organic product development and targeted acquisitions. Let me explain what the benefits are for our customers. As I talked about at the half year, the acquisitions of Envase and Blume added considerably to WiseTech’s existing product capabilities and footprint in North America and beyond. With CargoWise, we can now manage marine and intermodal containers for U.S. trucking, rod roads, ocean carriers, intermodal equipment providers, global freight forwarders and beneficial cargo owners or BCOs, digitally linking and integrating all aspects of planning, execution and visibility. Freight-forwarders BCOs and carriers can now have complete end-to-end visibility of shipments. Visibility in is of itself only helps highlight problems. It doesn’t solve them. We can use that deep global visibility aggregated from many sources to dramatically enhance the tracking of ocean vessels containers, aircraft and air freight, road and rail and by adding logistics optimization and supply chain orchestration, we make this visibility actionable and much more valuable. This alone substantially broadens our opportunity set. We are already directly engaged with Ocean and their carriers and others and will now be engaging our freight forwarding customers via Neo to help them assess their BCO customers. Neo substantially expands our ecosystem and provides value to our customers’ customers and creates further attractive value for international freight forwarders. The freight forwarders, BCOs and carriers all use landside logistics and can benefit from logistics optimization and supply chain orchestration. This derisks their operations by helping to predict and avoid problems while delivering considerable savings, reducing inefficiencies and unwanted penalties. All of this will deliver cost savings and penalty reductions, productivity improvements and carbon footprint reductions, many times higher than the cost of adoption, whilst further enhancing competitive advantage. It also lays the foundation for further expanding our product capability, market penetration and long-term revenue growth, demonstrating again the vast runway we have ahead of us. This really is a win-win for our customers, their customers and for WiseTech. As with global customs, there is now a comprehensive warehouse suite that supplies all of the complex and varied international land side logistics warehousing needs through powerful modules that integrate tightly within CargoWise. Existing customers can easily access these capabilities to their current agreements and potential customers can easily join the CargoWise family. Adopting the CargoWise warehouse suite across the global business is an easy, fast, cost-effective and deeply integrated approach that surpasses anything that could be glued together from many disparate vendors and products at a much lower total cost of ownership. We now have many more components of global logistics in place, having built organically over many years while learning from numerous global foothold and adjacency acquisitions, including Microlistics acquired in 2018. The CargoWise warehouse incorporates contract, transit, short-term and long-term bonded and e-commerce warehouses. This makes the CargoWise’s capability completely unique deeply, integrated and fit for purpose for our customers. This slide highlights the progress we have made in securing further global rollouts in FY 2023. On the right-hand side of the chart, you can see the addition of OEC, BBL Cargo, Kuehne+Nagel our first global customers rollout as well as NTG, IFB and EMO Trans in global freight forwarding. Since the year end, we have also added APL Logistics rolling out CargoWise and FedEx adding CargoWise global customer to their on-going CargoWise rollout. During FY 2023, we also added two additional organic rollouts in production in the form DB Group and Maersk logistics. Maersk’s acquisition of Senator, along with JAS’s acquisition of Greencarrier and CEVA’s acquisition of GEFCO are all great examples of continuing industry consolidation. This now brings the number of global rollouts to 47 and demonstrates how our customers grow with us and how our software becomes increasingly integral to their operations. These global rollouts provide us with a significant runway for revenue growth. As Andrew said, large global freight forwarders in production delivered a 37% revenue CAGR between FY 2016 and FY 2023. And of the 14 that are contracted and in progress, less than 40% of their expected users are currently live on CargoWise. Turning now to our third P, Profitability. We remain focused on driving returns through our high-growth scalable SaaS model, which delivers strong profitability and operating cash flows. Improving our efficiency as part of our on-going financial discipline, supported by continued reduction in non-CargoWise product maintenance costs down 14% in FY 2022 and driving return on product investment and further expansion of our CargoWise product capability. As I mentioned earlier, we have introduced a new company-wide efficiency program, which we expect will deliver $15 million of net savings in FY 2024, with annual run rate savings of $40 million. This will continue to enhance our operating leverage as we scale, whilst we continue to assess further efficiencies where appropriate across the business. This leads me to our guidance for FY 2024 and our continued strong growth outlook. This is despite a continued softening of global trade volumes given the trajectory of the core business, resilient nature of our recurring revenues and multiple sources of revenue growth. As we outlined previously, the majority of our growth is driven by factors other than global trade volumes. Our guidance is based on the assumption we have clearly set out on slide 24, so I won’t go through them. Assuming there are no material changes to these assumptions and there unforeseen events that arise prior to June 30, 2024, we expect to deliver FY 2024 revenue of $1.04 billion to $1.095 billion, representing revenue growth of 27% to 34% with CargoWise revenue expected to grow by approximately 34% to 43% overall. In terms of FY 2024 EBITDA, we expect to deliver $455 million to $490 million, representing EBITDA growth of between 18% and 27%. We expect FY 2024 revenue and earnings to be more weighted to the second half than in FY 2023, as we have outlined on the slide, giving us strong momentum into FY 2025. It is important to note that while our largest strategic acquisitions are being integrated, our near-term EBITDA margins will be slightly lower and contribute to a forecast 6 percentage point of EBITDA dilution in FY 2024. However, we expect EBITDA margins to return to more than 50% in FY 2026. You can see our strong track record of revenue, EBITDA and EBITDA margin growth since our listing in FY 2016, delivering 34% revenue CAGR, 43% EBITDA CAGR and 54% free cash flow CAGR really demonstrates the strength and resilience of our business model. This strong momentum has been underpinned by 47 global rollouts in FY 2023, including 11 of the top 25 global freight forwarders, stemming from an investment of over $880 million in CargoWise new products and enhancements since FY 2019. We are well placed to benefit from continuing logistics industry consolidation as well as pursuing our own M&A opportunities. Our strong balance sheet and cash generation provides us with significant financial firepower to fund our future growth. I would finally like to remind you of the four key points of progress I mentioned at the outset. Our strong FY 2023 financial performance underpinned by 41% CargoWise revenue growth that brings leverage to our mission, growing the company and creating shareholder value and a strong outlook with 34% to 43% growth in CargoWise revenues and 18% to 27% growth in EBITDA for FY 2024. Our first top 25 win for our global customs rollout with the world’s largest freight forwarder, Kuehne+Nagel followed after year-end by FedEx, a second CargoWise global customs rollout. This shows momentum in a key space that drives enormous value for our customers. Our continued move deep into landside logistics starting with North America with our platform delivering breakthrough capabilities at scale in an industry beset with complex problems and inefficiencies. We can create many industry scale improvements and growth opportunities. Lastly, over many years, we have been building substantial and highly efficient product development processes. This year, as expected, we have seen a significant acceleration of that capability to deliver on and drive our product development priorities, this capability is clearly validated by the release of our CargoWise Warehouse Suite and CargoWise Neo. There is much to do but there is also so much potential. As a team, we are rich with enormous talent, motivation and conviction. I look forward to reporting our progress in the months and years ahead. Now let’s open for questions.
Operator: [Operator Instructions] Your first question comes from Lucy Huang with UBS. Please go ahead.
Lucy Huang: Good morning, Richard and Andrew. My one question is around the customs rollout with Kuehne+Nagel and also FedEx. Are you able to give us some color on the progress of the Kuehne+Nagel rollout? And I guess when we should start to see some revenue contribution coming from this? And also with FedEx, how should we be thinking about the progression in terms of the revenue uplift coming through? Thanks.
Richard White: Okay. Thank you. Well, Kuehne+Nagel, all large forwarders, do quite a bit of planning before rolling out substantially. If you recall, the DHL contract we signed in something like April 2016, and they didn’t really start rolling out until early 2017. So Kuehne+Nagel is in that position. They’re planning. We’ve got a number of things going. They do have a number of countries live already. But we won’t see a rapid rollout because as all these large companies, they tend to do it a branch or a country at a time. And they tend to do that along the lines of where their business is tracking and how they want to run it. For instance, late in the year in November, December, nobody roles anything out because the volumes are very high around the Christmas period. FedEx is also in a rollout plan, and I think it will – both will certainly contribute to revenue this year, but that’s already included in our guidance. So I think the really -- the way to look at the customer’s capabilities -- and I remind you that there’s a product brochure attached to the deck. You can load that down and it explains the whole model and the back it explains all of the sort of traditional approach to customs and it explains what CargoWise one global customs does. And it’s very important to understand that this is a real value creator and the long-term opportunity here. The outlook for that product is extremely strong. We’re expecting that to accelerate over time. But of course, this is not a guidance issue. This is -- we’re talking about a product driving our long-term capability and long-term revenue growth.
Operator: Your next question comes from Kane Hannan with Goldman Sachs. Please go ahead.
Kane Hannan: Good morning, guys. Just the margin profile from here. So guiding to second half margins, 47%, 48%, you’ve got an extra $25 million, I think, of cost savings coming through in 2025 just is there any reason why the FY 2025 margin might be very close to 50%. Therefore, meaning 2026 could be a few percent above that 50% or so is the second half margin have more of that cost saving than I’m thinking just.
Andrew Cartledge: Yes. Kane, thanks for the question. Appreciate it. I think you’re right. The EBITDA margin coming out of the second half, we’re forecasting to be sort of 47%, 48% range. There will be some more cost savings that come through from the $40 million cost efficiency program in FY 2025. We forecasted right now that our EBITDA margins are going to get above that 50% plus range in FY 2026. Of course, there’s a number of variables that sort of get us there. And like you say, it could be a little bit earlier than we anticipate. But right now, we’re guiding it to FY 2026.
Richard White: Just a snap on that, we’ve seen that happen during our original run of M&A that we worked very hard in 2020 and 2021 on improving the margin in those companies you buy and then you improve. It’s a thing that we’ve done very well. We’ve got a very strong team. We know how to run these businesses. We know how to keep costs under control. And this program is just something you do from time to time. You need to look at every aspect of your cost base. Of course, we’re actually continuing to hire -- and we’re not talking about layoffs in that sense. We’re talking about running the cost program along a range of things, bringing a lot of the cloud hosting into our data centers, looking at the office costs, there’s many other things that we’ve got at those levels that we can reduce costs on.
Operator: Your next question comes from Nick Basile with CLSA. Please go ahead. Nick Basile, your line is now live. Please proceed with your questions. Your next question comes from Bob Chen with JPMorgan. Please go ahead.
Bob Chen: Hi, guys. Just a question on some of your recent acquisitions. I mean it looks like the contribution from your acquisitions is a little bit below what you were expecting for this year. And even looking at your sort of guidance for FY 2024 it sort of implies there’s not much grow, they might even be going backwards. Like how are you sort of seeing those acquisitions shape up?
Andrew Cartledge: Yes, Bob, I think for FY 2023, we sort of guided based on the information in the ASX announcements and the first half results. Revenue came in about $33 million, which was at sort of the low end of the range that we’d provided. And the EBITDA margin was reasonably in line with where we expected to be. Obviously, these are high-growth businesses that are in their investment phase and a 15% negative EBITDA margin is in line with our expectations. I think what we’ve indicated in the guidance here is that the overall EBITDA margin is in line with our expectations. The underlying EBITDA margin within the business remains very strong and reflects continued CargoWise revenue growth and the on-going cost investments to scale the business in the future. What we’re seeing is the opportunity to continue to invest further from some of the opportunities that we’ve seen since we acquired those businesses and going through the diligence process. So we’re going to add a little bit of cost into the business in FY 2024 to be able to realize those future growth potentials, which is bringing the EBITDA margin for the combined three acquired businesses Shipamax and Envase & Blume at about 5% when we originally probably indicated that it was going to be a few points higher than that, but not a lot. The six points of dilution in the margin rate from the acquisitions is sort of broadly in line with our expectations ex the additional costs that we are investing to realize those revenue opportunities and revenue benefits.
Richard White: Yes. And just on the product side, we’ve mentioned logistics optimization and supply chain orchestration, they both come from Blume product suites, which we have a very strong confidence in, and we’re looking -- the outlook for those is extremely strong. So, we’re working on building those into the sales model and bringing very strong teams into that. I think you would understand that it takes a little bit of time to get a substantial acquisition like Blume and Envase into the company and running at all cylinders. But it’s -- from my perspective, everything that we thought we were going to get and more has been delivered in those two acquisitions.
Operator: Your next question comes from Darren Leung with Macquarie. Please go ahead.
Darren Leung: Hi guys. Can you hear me?
Richard White: Yes.
Darren Leung: Thanks for the opportunity. I just wanted to ask on the FY 2024 guidance, please and pretty appreciate there’s a lot of focus and sort of noise knowledge around the acquisitions. But -- and thanks for your disclosure on it. But if we strip out the EBITDA, maybe contribution from Envase and Blume and Shipamax and call out CargoWise underlying revenue and EBITDA, it looks like the growth rates for both is about 19% in FY 2024. Can you confirm that’s correct? And also, if that is then -- it looks like the margin is also flat on a year-on-year basis. So, just any commentary around thinking behind that or it’s conservative, please?
Andrew Cartledge: Yes, Darren, I’ll take that one. Thank you for the question. Look, I think let’s start with sort of the revenue guidance overall in line with our expectations, really continued strong positive momentum from the FY 2023 run rate. What we’re seeing is a slight moderation in terms of market growth and if you remember, market growth reflects about just less than 10% of our overall CargoWise growth historically. And that sort of just really reflects some of the current industry volumes that we’re seeing and we’re forecasting that to continue in FY 2024. So, that’s probably just taking a little bit of the top off the revenue growth. Overall CargoWise revenue growth, however, for the year were forecasted to come in at 34% to 43%. And that far exceeds the 33% compounded growth rate that we’ve seen over the last seven years, FY 2016 to 2023, with inorganic obviously delivering a piece of that between 14 and 18 percentage points. As we’ve said also, part of that’s going to be more, excuse me, related to the second half of the year than it was in FY 2023. We had a 46% to 54% split first half, second half in 2023. So a little bit more weighted to the second half with some of the revenue growth from the opportunity, revenue growth opportunities from the acquisitions, plus some of the new products and customers come online in the second half. And as we’ve said before, that can be lumpy between first half and second half. In terms of the overall margin guidance, really sort of saying we’re quite in line with where we expected to be from a CargoWise perspective. We’ve invested heavily this year, as Richard’s indicated in the presentation, around R&D investments which are leading into all of these new products that we’re bringing in line. Obviously that’s in our cost base for FY 2024 from a run rate perspective. And we’re also continuing to invest in FY 2024 to drive significant future growth so. And as indicated, we come out of the year with an overall margin including the dilution from the acquisitions in the 47% to 48% range and anticipating that the margins will be back to 50% plus in FY 2026.
Operator: Your next question comes from Paul Mason with E&P. Please go ahead.
Paul Mason: Hi. Just one quick one on the cost efficiency program. You’ve played like net cost savings this year. I just wanted to ask, is there any substantial costs around achieving those savings, or is that just like a relatively straightforward cost out? Yeah.
Andrew Cartledge: Good question, Paul. The 15 is net cost savings, so we’ve budgeted some costs to deliver that in FY 2024. And then obviously we’ve got the spring-loaded benefit of that running into FY 2025 with the run rate savings and the program costs dropping away. So yes, there’s some program costs to execute in that.
Operator: Your next question comes from Roger Samuel with Jeffries Australia. Please go ahead.
Roger Samuel: Hi, good morning, guys, and well done in launching Warehouse and Neo. Just a question on that. Have you got any customers in the pipeline for Warehouse and Neo? I imagine that the typical customer there is quite different from your core pre-polling or customs business. Or perhaps you can leverage the customer base from Envase and Blume? Thanks.
Richard White: Let me address Neo first. Neo is a direct replacement; a very substantial upgrade for a product that is actually very widely deployed called Web Tracker. Neo replaces that and extends and expands it very significantly, and rolling that out will be very rapid. We’re expecting that by the end of the year we’ll probably retire Web Tracker, and most customers, if not all, will be using Neo. With Warehouse, we’ve been operating in stealth mode in Warehouse for some time. If you remember the last half, I said we weren’t prepared to get to Warehouse at that time. But we’ve obviously got quite a lot of customers on Warehouse, something like 350 customers on the product Warehouse, 30-odd customers on the transit Warehouse, and just a little under 20 customers on the e-commerce warehouse. I don’t know the bond in short and long-term bond warehouses that’s. But all of them operate within the international supply chain and right at the border is around landside. And in this particular case, there’s a lot of opportunity. The long-term outlook for these is we’re going to be driving sales in this particular space, along, of course, with global customers and Neo driving sales as well because Neo brings all of this together it creates effectively a control tower management portal for our customers’ customers to run their businesses.
Operator: Thank you. There are still several questions waiting to be asked. We will extend the briefing for another 15 minutes. Your next question comes from Roy Van Keulen with Morningstar. Please go ahead.
Roy Van Keulen: Thanks for taking my question. A bit of a long-term one from me. You’ve been quite countercyclical in hiring and acquiring since COVID [Ph] and you’ve just announced an 80% headcount increase in product development. I guess the backdrop of other tech companies laying people off I’m wondering what that’s doing for costs in terms of lines of code written per AUD or something like in to that. And then on top of that, the -- I don’t want to be the analyst and ask more AI question, but you have a pretty outsized exposure to product development. So it seems like any productivity improvements on that front would see through really well for you guys and maybe to ask the same question in a cheeky different way, the mantra has long been slower today, faster forever. -- and had an 80% increase in head count, it sounds like you’re going pretty fast. And I know you don’t guide beyond the next year, but it kind of sounds like maybe in the years beyond next year, we’d expect revenue growth to pick up. Is that correct?
Richard White: Yes, go ahead.
Andrew Cartledge: Yes. Roy, I’ll do the first bit of that, which just sort of send us around the cost, and then I’ll just hand it over to Richard. So I think I’ll just refer you back to Page 13 in the deck, where we look at the total research and development cost for the business. Clearly, we’ve seen a big step-up in research and development costs this year as we previously flagged. And there are two reasons for that, obviously. One is the acquisitions of Blume and Envase, which bring in their own inorganic activity. But then there’s also the increase that we’ve had from a hiring perspective, where we’ve been able to execute on more product development projects. And I think you see in the results of some of that work today with the announcement of the Warehouse suite and CargoWise Neo. So Yes, I’ll hand it over to Richard, just talk about the other parts.
Richard White: So as you know, clearly, we’re a product-led company and products don’t get built without talented people. And -- what we’ve actually achieved this year is completely remarkable. We have got a very, very substantial step-up in our capacity and capability. We’re going to do a little bit more work on integrating all of those people into the WiseTech way, which is a very sophisticated development process, but it’s looking very good. And we’re also continuing to hire at substantial rates. So we’re not slowing down here at all. You’re right. The outlook for this is that we are driving into product deliveries that are going to continue to grow our addressable market, make it much more attractive for our customers to stay on and grow into these new products that we’re delivering, much more attractive for customers, for people to come in and become customers and much more revenue, because we’re expanding the entire ecosystem that we deliver. So all of that has to have development resources aimed at it. Everything from Blume and the Logistics optimization and the supply chain orchestration components I mentioned before, the Neo product, of course, that’s very new. Warehouse is relatively mature now, but still has work to do. And of course, there’s lots of work to do in the global customers capability. And in our core product, we’re always improving optimization using machine learning, automations and various other things to make that product extremely efficient, effective and productive. So development is at our core, our people, the talented people that drive the product delivery, development of delivery are in fact, the source of our revenue growth. And the more of them we have aimed at fixing the problem solving through the industry and making much more valuable things for our customers to acquire. That’s how you get future revenue growth. So you’re completely right.
Operator: Your next question comes from Elise Kennedy with Jarden. Please go ahead.
Elise Kennedy: I just wanted to clarify on the acquisition and the integration. Are they going to be brought into the CargoWise platform, are they going to stay as non-CargoWise revenue? Essentially is trying to understand is similar to what the other acquisitions profile was where they are in a separate bucket or if eventually, they’ll start to go into the CargoWise revenue?
Andrew Cartledge: Yes, Elise, good question. Thanks for that. As we announced at the acquisition of both Blume & Envase, the strategically significant acquisitions, and we’ve included them in the CargoWise revenue line. What’s left in the non-CargoWise now is some of the older foothold and adjacency acquisitions from a few years ago. So the most recent acquisitions are in CargoWise.
Richard White: There is a platform question there as well. And I’ll point out that the platform CargoWise is, in fact, where everything ends up. And we do rebuild or integrated. And in the case of Blume the components that we’re talking about which are Logistics optimization and supply chain orchestration, that can be published through our platform to customers. So effectively, those components can actually be additive to CargoWise in an ecosystem sense. Things like Shipamax, for instance is being rebuilt into the native CargoWise application components. And that is typically what we do. We don’t really want to have lots of small disparate applications. We want to be able to present a complete application suite an ecosystem, if you will, and they always get rebuilt so that they are part of the CargoWise family.
Operator: Your next question comes from Siraj Ahmed with Citigroup. Please go ahead.
Siraj Ahmed: Hi Richard, hi Andrew. Just a slide on the CargoWise growth drivers, I mean, per twice if your guidance for next year, does it imply sort of 20%, 25% growth, you’ve typically done more 30%. So just wondering, and especially with product, your rollout of product, I mean I get market growth, but how negative is market growth in your guidance? And are you seeing customers’ slow spent potentially into next year?
Andrew Cartledge: Siraj, I’m sorry, you were pretty difficult to hear there. I think we’re asking a question about growth drivers, but could you just clarify?
Siraj Ahmed: Yes. So Andrew, you’re saying for next year’s guidance, which is 20% to 25% organic growth, market growth is a headwind, but how significant are you assuming in that sort of 20% to 30% per year and you actually have new products coming out, right?...
Andrew Cartledge: Yes. I’m over that, can you? No. Can anybody get it?
Richard White: I think it’s how much is the headwind for market growth.
Andrew Cartledge: Okay. Yes, Siraj, okay, maybe try and paraphrase then. So you’re asking about the market growth in the guidance and how much the headwind is?
Siraj Ahmed: That’s right.
Andrew Cartledge: Yes. Okay.
Siraj Ahmed: That’s right.
Andrew Cartledge: Got it. Well, look I mean sort of from the growth drivers I’ll sort of point you back there with 33% compounded growth rate over the last seven years, 3 percentage points of that, so just less than 10% comes from that market growth. We have seen, and Richard can comment a little bit here, and we read about it every day, right? Sort of some of the volume compression within the industry, we’ve seen that coming through in the latter part of FY 2023, and we forecast that to continue in FY 2024. So that’s going to be one of the years where the market growth is slightly below trend and that’s obviously more than offset with the revenue growth that we’re getting from the inorganic activity plus stronger growth from the momentum carried forward from FY 2023 from new products and the new customer wins and the new large global forward roll-outs.
Richard White: I think a way to look at this is that the biggest contraction has not been in the volumes, the biggest contraction has been in margin compression for our customers. And that for us is a tailwind, because ultimately during the good times, people are sort of fat and happy and in the bad times, you have to go on a diet and that diet involves implementing CargoWise or implementing it more quickly or adding more modules and more capabilities. So for us, when customers need to relook at their costs and start figuring out how to retain profitability or regain profitability that is a very positive sales driver. Whilst there is a small amount of headwind from volume, the large amount of tailwind is from the opportunity.
Operator: Your next question comes from Matt Ryan with Barrenjoey. Please go ahead.
Matt Ryan: Thank you. I just had a question on the margin profile for Envase and Blume and what you think is a reasonable, I guess base case over the next two to three years and how much that margin improvement of those two businesses contributes to your sort of FY 2026 assumption that you get back to 50%?
Richard White: What I would say to you is that over the course of our M&A journey, we have always taken on businesses that are very low margin, some of them not profitable, and we have turned those businesses into high margin businesses over and over again. This is the job of work that you do when -- because you can’t really buy a business that is as profitable as WiseTech. You have to buy businesses that have less margin than we have. It’s just inevitable that you’re going to have some margin compression when you do M&A. But the job of WiseTech is to take those businesses and turn them away from their old approach into high-yield businesses, and that’s where the margin comes back. Of course, we’re also improving things across the business. That project, which was going to deliver 15 million in FY 2024, is not about cost out of Envase and Blume, it’s looking across the entire business, looking at all the things we’re doing and looking cleverly at how you can make better efficiency out of the business. So -- these sort of things that we do are standard. We’re a high-growth business. We’re also very focused on being a high-efficiency business.
Operator: Your next question comes from Nick Basile with CLSA. Please go ahead.
Nick Basile: Good morning, Richard, Andrew. Thanks for taking my question. I missed it earlier. Just on the evolution of customers’ products or usage uptake on CargoWise platform. I think there was some comments that those that are in contract at all progress of just 40% of their expected users live. And then you’ve also made the comment that FedEx is taking on global customs. So just interested in any perspectives on how much more penetration there is from your mature customers going forward?
Richard White: Well, all of the things we’ve been talking about in this release that are significant, landside logistics, which includes that logistics optimization capability and the supply chain orchestration capability, global customs as a product suite that can roll out across all of our existing customers. Neo, which is a driver of value for customers. It’s not a revenue component. It’s a value driver for customers. So, customs is a revenue driver, the optimization and orchestration are revenue drivers and the warehouse suite is definitely a revenue driver. So we’re obviously going to be putting focused sales teams around those pieces. And the outlook of those for the medium term is actually very strong. We expect that there is a massive difference in looking at those products comparative to anything that customers have been able to glue together from their traditional approach of taking a lot of small vendors and trying to make a platform out of lots of small vendors. We’ve got a really strong positive message there. If you look at the product brochures, which are linked to the presentation for both the warehouse suite, and the customs -- global customs capability, there’s -- at the back, it contains a whole lot of traditional problems and WiseTech, CargoWise solutions to those problems. It’s very telling that there is a very fundamental capability here. It is much better to operate in. The labor cost is better. The risk profile is better and the IT costs are much better, and that makes this -- these products very, very attractive. Same thing with the supply chain orchestration and the logistic optimization, there’s a lot of upside when you start looking at how much money you can save by implementing those clever solutions
Operator: Thank you, everyone, for your interest today. We are now at the end of our market briefing. If you do have further questions, please contact the Investor Relations team. Thank you, and have a good day.
Richard White: Thanks, everybody.
Andrew Cartledge: Thank you.